Operator: Good day, and thank you for standing by. Welcome to the Weibo reports fourth quarter and fiscal year 2024 financial results. [Operator Instructions] Please be advised that today's conference is now being recorded. I would now like to hand the conference over to your first speaker today, Sandra Zhang, Investor Relations representative of Weibo Corporation. Please go ahead.
Sandra Zhang: Thank you, operator, and welcome to Weibo's Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. Joining me today are our Chief Executive Officer, Gaofei Wang; and our Chief Financial Officer, Fei Cao. This conference call is also being broadcasted on internet and is available through Weibo's IR website. Before the management remarks, I would like to read you the safe harbor statement in connection with today's conference call. During today's conference call, we may make forward-looking statements, statements that are not historical facts, including statements of our beliefs and expectations. Forward-looking statements involve inherent risks and uncertainties. A number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. Weibo assumes no obligation to update the forward-looking statements in this conference call and elsewhere. Further information regarding this and other risks is included in Weibo's annual report on Form 20-F and other filings with the SEC. All the information provided in this press release is occurring as the date hereof. Weibo assumes no obligation to update such information, except as required under applicable law. Additionally, I would like to remind you that our discussion today includes certain non-GAAP measures, which excludes stock-based compensation and certain other expenses. We use non-GAAP financial measures to gain a better understanding of Weibo's comparative operating performance and the future prospects. Our non-GAAP financials exclude certain expenses, gains or losses, and other items that are not expected to result in future cash payments or are nonrecurring in nature or are not indicative of our core operating results and outlook. Please refer to our press release for more information about our non-GAAP measures. Following management prepared remarks, we will open the line for a brief Q&A session. With this, I would like to turn the call over to our CEO, Gaofei Wang.
Gaofei Wang: Thank you. Hello, everyone. Welcome to Weibo's Fourth Quarter and Full Year 2024 Earnings Conference Call. On today's call, I will share with you highlights on Weibo's product and monetization, review the progress made in 2024, and elaborate our strategy for 2025. Starting from our financial performance in the fourth quarter. Our total revenue in the first quarter reached USD 456.8 million, a decrease of 1% year-over-year or relatively flat year-over-year on a constant currency basis. Our total ad revenue reached USD 385.9 million, a decrease of 4% year-over-year. Our value-added service revenues reached USD 71 million, an increase of 18% year-over-year. Our non-GAAP operating income in the fourth quarter reached USD 136.2 million, representing a non-GAAP operating margin of 30%. For full year 2024, our total revenue reached USD 1.75 billion, relatively flat year-over-year or an increase of 1% year-over-year on a constant currency basis. Our total ad revenue reached USD 1.5 billion, a decrease of 2% year-over-year. The decrease was mainly resulting from the variance of ad performance across different industries. Our value-added service revenue reached USD 256 million, an increase of 13% year-over-year, benefiting from the upgrade and restructuring of our membership service. For full year 2024, our non-GAAP operating income reached USD 584.1 million, representing a non-GAAP operating margin of 33%. In December, Weibo's MAU reached 590 million and average DAUs reached 260 million. Next, let me share with you our progress made in product and monetization in the fourth quarter. On social attributes, we have 2 undertakings on the product. On the one hand, we maintain our 2024 strategy for the relationship-based feed by enhancing high-quality content consumption, accelerating the construction of vertical content ecosystem, promoting social interaction features, and increasing the social stickiness in the relationship-based feed. In the first quarter, both the number of interactive users in the relationship feed and interaction rate per 1,000 views saw a solid year-over-year growth. On the other hand, to further enhance user's social stickiness on Weibo, we initiated social product integration plan in Q4 to enhance synergies among Super Topic, individual page, and fans group to align goals across all social products. Product operation, we have clarified that Weibo's social features should focus on the relationship network and social interactions between content creators and fans. Specifically, in the first quarter, we focused on product integration of Super Topic with relationship-based feed and My Profile, enabling high-quality content from Super Topic to naturally and efficiently reach users of interest in the relationship feed. This approach not only boosted content consumption and user interaction in the relationship-based feed, but also encourage users to engage more organically with Super Topic, fulfilling their long-tail interest-based social needs and reinforcing user recognition of Weibo as a community. We expect to complete this integration plan in the first half of 2025. On content ecosystem, in the fourth quarter, we focused on 2 areas. First, we seized opportunities in hot trends to acquire users and drive traffic while continuing to invest in vertical content to reinforce the development of monetization ecosystem. Throughout 2024, we saw significant growth in the scale traffic and engagement of the vertical, golden and orange verified accounts compared to prior year. For instance, we kept up with the latest hot trends in advancement of AI technology and prioritized development of content ecosystem of AI-related verticals. On the one hand, we captured and operated hot trends of the AI industry on Weibo, generating discussion around AI-related hot topics on Weibo. On the other side, we built a metric of KOLs in the AI-related vertical, encouraging them to generate in-depth technology analysis and industry insights content. Besides, we also launched a series of activities to boost AI-related content creation and interaction to attract users' participation and to make AI more accessible to them. Looking ahead, our ongoing investment in the AI vertical will not only support the growth of the AI industry, but will also generate more business opportunities in the interest-based user group agencies for the platform, creating a mutually reinforcing relationship between the AI content ecosystem and the monetization ecosystem. In the fourth quarter, we started transforming the platform's vertical operating system. Our vertical content ecosystem has been built around the content generation by top creators of all verticals and the distribution system of the relationship-based feed. However, with the shift towards interest-based content consumption, our existing vertical operating and management model has been facing challenges. To address this, we recognize the need to form an integrated model to combine KOL account operation with interest-based content operation. Therefore, we launched the Weibo cross vertical initiative in the fourth quarter, aiming to guide content generation around users' interest. The initiative encourage top vertical KOLs to generate content with diversified interest, adjust the platform's content incentive policies to foster wider participation and enhance the distribution efficiency of hot topic and recommendation feed. These efforts have provided preliminary validation for a new operation model of interest-based vertical concept and will guide our investment in the development of the interest-based recommendation mechanism in 2025. Next, on the monetization front. In the fourth quarter, we continue to focus on strengthening clients' perception of Weibo as the primary platform for the new product launch marketing. Despite that Weibo's overall ad revenue in the fourth quarter decreased slightly year-over-year as revenue from the new product launch marketing grew by double digit year-over-year as we seize opportunity of major industries in the new product launch marketing, increasing our investment to boost content discussion and distribution throughout the new product launch life cycle. Let's take a closer look by industry. Revenues from both automobile and handset sectors delivered solid growth in Q4, largely driven by Weibo's unique strength in new product launch marketing and facilitating discussions on emerging technologies. For example, for the automobile industry, with the growing market penetration of new energy vehicles, namely NEV in China throughout 2024, Weibo reinforced its position as the main platform for NEV-related discussion. As a result, car manufacturers have significantly increased their marketing budget on Weibo, contributing to another year of revenue growth in the automobile sector for Weibo, extending its multiple year upward trend. On the flip side, in the fourth quarter, ad revenue from online game, cosmetics, and personal care, and luxury industries were in the descending trend in the fourth quarter. The online game ad revenue saw a year-over-year decline, mainly due to the high base effect from Tencent and NEV's major project investment in the Q4 of 2023. For the cosmetics and personal care and luxury sectors, although the ad revenue from this sector declined in Q4, the impact of this sector on the overall ad revenue growth is very limited with the adjustment of its revenue scale. For the overall ad market, in Q4, the government introduced a series of stimulus policies to boost consumption. For instance, the trading policy had a notable positive impact on the digital product and e-commerce sectors. However, it takes time to see when the broader set of economic stimulus measures will translate into the recovery of advertiser and consumer markets. With this policy gradually taking effect, we hope to see the macro economy, consumer spending, and more industries demonstrate a more meaningful rebound. Against this backdrop, Weibo's monetization strategy will continue to focus on leveraging marketing opportunities from the platform-wide and client-driven hot trends while penetrating into a wider range of industries and clients. And meanwhile, in serving clients' marketing campaigns for the new product launch or key marketing window, we will strive to deliver better performance in terms of the distribution effect and client feedback. Recapping on 2024, although revenue from a few industries fell short of expectations, which negatively impact on the overall revenue growth, our effective cost management enabled us to sustain a stable operating income. The solid profitability gives us financial flexibility to support our investment in product, technology, and AI area in 2025, which are cornerstones of the Company's long-term development. Overall speaking, in 2024, against the backdrop of macroeconomic and industry uncertainties, we focus on beefing up Weibo's competitive edge of our content ecosystem and enhancing operating efficiency as our key goals. Underpinned by the effective cost management, reinforced content ecosystem, and content marketing strategies, we delivered stable profitability for 2024. Looking ahead to 2025, we'll continue to focus on user value, solidify our leading position in hot trends and the entertainment content ecosystem and reinforce the competitiveness of our social products. On top of this, we will also beef up our AI investments to enhance our recommendation system and further invest in vertical and video content ecosystem. This initiative will solidify the platform's long-term competitiveness as well as drive user community growth and engagement. Next, let me briefly share some color on our key strategies for 2025 on 3 key fronts: User growth, content ecosystem, and operating efficiency. On the user front, in 2025, our key focus in the user product area is integrating Weibo's social products and revamping the recommendation system so as to drive user growth and engagement. To elaborate, first, we will consolidate key social products such as Super Topic, My Profile, and Fans Group to improve user interaction and strengthen the social stickiness between content creators and their fans. Additionally, leveraging the synergy between membership and social products, we aim to empower content creators to extend monetization opportunities based on their social network and thus foster greater engagement for both content creators and their followers on the platform. Second, we will upgrade our information feed product by optimizing the homepage interface. Coupled with the strength of the large language model powered interest-based feed, we hope to nurture users' habit of consuming recommended content on the homepage, thereby raising the proportion of recommended content among traffic distribution. By doing so, we endeavor to offer fresh user experience while reinforcing the long-term development of the vertical content ecosystem. Third, we are dedicated to further solidifying our advantage in hot trends. Thanks to the introduction of the open-source model, we will revamp our trends product with focus on enhancing the credibility and influence of the hot search chart. We will also refresh the trending content feed and thus further unlock the synergies between the hot search and such feed. Leveraging a more efficient hot trend distribution system, we could improve the retention for those users recall through hot trends. This effort would greatly benefit the sustainable development of Weibo's hot trend ecosystem in the long run. On the content ecosystem, in 2025, as for the user product and operation, we will focus on reinforcing Weibo's leading position in the hot trend and entertainment sector while continuing to invest in the vertical and video content ecosystem. These initiatives will further enhance Weibo's content capability to compete for users' engagement and time spent among the platforms. To elaborate, first, we will beef up Weibo's hot trend operation through lifting investment in the content generation of both media outlets and self-media accounts so as to cater to users' demand for comprehensive and in-depth hot trend consumption and discussion. As for the entertainment vertical, we will further drive the engagement of celebrities on Weibo and reinforce the celebrity fan ecosystem to boost social interactions. Additionally, we will continue to innovate on the collaboration models with drama and a variety of show promotion platforms as well as film studios, leveraging Weibo's strength in amplifying word-of-mouth buzz and extending audience reach. These efforts will drive greater content consumption and discussion for the entertainment vertical. For example, during the 2025 Spring Festival, we are pleased to see a 50% year-over-year increase in the number of discussions related to holiday box office, thanks to our operational efforts in movie [indiscernible] discussion and audience reviews. Notably, for the blockbuster movie, Ne Zha 2, we target at hot topics and audience review, leveraging the exclusive initiatives such as the relay of the celebrity image featuring top films in Chinese cinematic history and coordinated efforts with around 3,000 media outlets. The topic related to Ne Zha 2 generated over 90 billion views and 100 million discussion on Weibo. We are excited to see this campaign ignite public enthusiasm for domestic animated films, contributing to Ne Zha 2 success in surpassing CNY 10 billion in box office revenue. Second, we will continue to strengthen the build-out of industry-specific vertical ecosystems such as digital, automotive, and online games, et cetera. To elaborate, we strive to increase the number and influence of the golden verify accounts and enhance the monetization capabilities of golden and orange verified accounts. This approach will enable us to further integrate Weibo's industry-based content ecosystem and monetization ecosystem, creating a virtuous self-reinforcing cycle of user and monetization. This year, we will work to build out an AI-related content vertical and thus support the AI transformation with focus on strengthening discussion around AI trends and expanding content creators' interested user base in the AI field. Third, to better align homepage information feed and improve recommendation accuracy, we will further optimize our approach to interest-based vertical content operations, establishing a closed-loop system from content creation to distribution. Instead of primarily managing the engagement of content creators, our focus will shift toward managing their vertical content. This initiative will help drive user base and engagement of the recommendation-based feed on the homepage and facilitate the long-term development of virtual content ecosystem. Moving on to operating efficiency. In 2025, for our ad product and sales strategy, we seek to create and solidify client mindset of Weibo as the go-to platform for content marketing across a broader range of industries and clients while also improving our ad conversion efficiency. First, in ad sales, we will further leverage Weibo's core strength in content marketing and optimize industry-specific marketing solutions tailored to different sectors to achieve win-win results in the content and business ecosystem with top clients. Additionally, we will reorganize our content marketing service and revamp our sales structure to expand the reach of content marketing across industries and clients. Second, in terms of ad products, we will increase the distribution ratio of native ads, namely content marketing, and enhance the overall marketing experience and ad performance, which will enable us to capture incremental ad wallet share from content marketing. At the same time, we will continue to leverage AI technology in the monetization field to optimize marketing and execution efficiency. Third, we hope to deepen the engagement of VIP members and drive a stable growth in the value-added service by creating greater value for our members with focus on integrating our various membership benefits and creation of entertainment and gaming IPs. Finally, this year, we are happy to see the product opportunities brought by the open-source large language models. Over the past 2 years, we have focused on building our basic platform capabilities through integrating all kinds of AI models, which enable us to swiftly switch among AI models to innovate our products. In 2024, we proactively explored on the product front and gradually outline our road map with focus on several key areas, namely AI-powered search, social interaction, content recommendation, and advertising, et cetera. In early 2025, we are excited to see breakthroughs in the areas of large language models, particularly the application of the latest open-source model to Weibo search function, which has significantly boosted the search capabilities. The new version of Weibo intelligent search function powered by the latest open-source model will be rolled out to all users this quarter. Based on the current user group tested, the updated version will improve user search experience on Weibo and drive usage frequency of Weibo's search function. This will transform the positioning of Weibo search from hot trend and real-time search to general search, which will facilitate us to enter into the vertical search market. This potential transformation will also set a high standard for our product experience. Additionally, we are also actively exploring AI application in social and advertising products. This application will position us well to reinforce our competitive strength, expand our usage scenarios, grow our user community, and as well as facilitate user interaction. We firmly believe that AI technology will transform our product capabilities and further strengthen Weibo's unique value proposition in the social media sector and thus build momentum into our long-term growth. With that, let me turn the call over to Fei Cao for a financial review.
Fei Cao: Thank you, Gaofei, and hello, everyone. Welcome to Weibo's Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. Let's start with user metrics. In December 2024, Weibo's MAU and average DAU reached 590 million and 260 million, respectively. In 2024, we have proactively adjusted our user strategy to focus on the acquisition and engagement of high-quality users, leading to an uptick of our DAU versus MAU ratio throughout the year. On the content front, we further optimized our content ecosystem through reinforcement of our core strength and solid execution of our vertical content strategy. Turning to financials. As a reminder, my prepared remarks will focus on non-GAAP results. All monetary amounts are in U.S. dollar terms and all comparisons are on a year-over-year basis, unless otherwise noted. Now let me walk you through our financial highlights for the fourth quarter and fiscal year 2024. Weibo's fourth quarter 2024 net revenues were USD 456.8 million, a decrease of 1% or flattish on a constant currency basis. Operating income was USD 136.2 million, representing an operating margin of 30%. Net income attributable to Weibo reached USD 106.6 million and diluted EPS was USD 0.40. For full year 2024, total revenue reached USD 1.75 billion, flattish or an increase of 1% on a constant currency basis. Operating income was USD 584.1 million, representing an operating margin of 33%. Net income attributable to Weibo reached USD 478.6 million and diluted EPS was USD 1.82. Let me give you more color on the fourth quarter and full year 2024 revenue performance. Weibo's adverting and marketing revenues for the fourth quarter 2024 was USD 385.9 million, a decrease of 4% or 3% on a constant currency basis. Mobile ad revenue was USD 363.5 million, contributing approximately 94% of total ad revenue. Value-added service, VAS revenue was USD 71 million in the fourth quarter, an increase of 18%. Full year 2024 advertising and marketing revenue reached USD 1.5 billion, a decrease of 2% or 1% on a constant currency basis, with mobile ad revenue contributing 94% of total ad revenue. Full year 2024 VAS revenue increased 13% or 15% on a constant currency basis to USD 256 million. First, regarding Q4 ad performance. Consistent with our expectations, the advertising business continued to stabilize, though performance varied across our key ad verticals by industry. Our largest industry verticals were 3 key products, e-commerce and FMCG in terms of growth. Three key products, automobile and internet services were the key drivers of advertising revenue growth on the outset. We are encouraged to see early signs of a rebound, increasing product sales as trading subsidies took effect. The automotive sector continued to deliver solid growth, benefiting from the ongoing shift from traditional to electronic vehicles as well as our robust content ecosystem supporting new car launches. I believe that our top line recovery was dragged down by the underperformance of the online game sector as we faced a tough year-over-year comparison due to the concentrated release of blockbuster-party games in the fourth quarter last year. Additionally, although consumption data shows signs of bottoming out, partly supported by trading policies, certain discretionary categories such as cosmetics, luxury goods, and personal care products remain under pressure. Moving on to full year 2024 ad performance. Despite macro and competitive headwinds, we maintained a strong advertiser engagement and continued to attract meaningful ad spend from key sectors, while revitalizing the content ecosystem to enhance our monetization capabilities by industry. Our largest of the 3 verticals were FMCG, 3C products, and e-commerce in terms of growth. Internet services, 3C products, and automobile were largest contributors to growth. We are delighted to see sustained growth in ad spending from handset and automobile sector this year, driven by favorable policy similar and strong engagement around new product launch. The internet service sector also achieved encouraging growth as customers from this sector embrace our platform to reach high-quality users amid an intensified competitive landscape. However, the FMCG category continued on a downward trend. Within the FMCG, the cosmetics and the personal care sector remained under pressure, mainly due to big sales from multinational brands and heightened competition among ad platforms in content. The food and beverage industry experienced a solid growth boosted by the Paris Olympics as well as our strong sales capabilities. The ad products, promoting feed ad was the largest, followed by social display and topic and search. In 2024, we further strengthened our market differentiation around top 10 IPs and celebrities, which resulted in decent growth in content marketing. Ad revenues from Alibaba for the fourth quarter were USD 14.3 million, a decrease of 10% or 9% on a constant currency basis, reflecting a relatively muted e-commerce shopping festival amid packed consumption environment. Full year ad revenues from Alibaba were USD 116.8 million, an increase of 5% or 6% on a constant currency basis, consistent with Alibaba's moderate pickup in marketing budget. Value-added service net revenue was USD 71 million in the fourth quarter, up 18% year-over-year, driven primarily by growth in our membership and game-related services. For the full year 2024, net revenues increased by 13% or 15% on a constant currency basis to USD 256 million. This growth was largely fueled by strong performance of our as VIP membership service, which effectively meet our users' social needs and by our successful efforts to attract high-quality users with greater purchasing power. Turning to cost and expenses. Total cost and expenses for the fourth quarter was USD 320.7 million, an increase of 1%. Full year cost and expenses totaled USD 1.17 billion, largely flattish with increase in sales and marketing expenses, offset by decrease in general and administrative expenses. Operating income in the fourth quarter was USD 136.2 million, representing an operating margin of 30% compared to 31% in the same period last year. Operating income for full year 2024 was USD 584.1 million, representing an operating margin of 33% compared to 34% in 2023. Turning to income tax and GAAP. Income tax expenses for the fourth quarter were USD 20 million compared to USD 72.6 million last year. This reduction is primarily due to the one-off withholding tax accrued in the fourth quarter of last year compared with a normalized recognition in 2024. Full year income tax expenses were USD 110.6 million compared to USD 145.3 million in 2023. The decrease mainly reflected a record rise of core profit in 2024, which is in line with our capital allocation plan, including dividend payments. Net income attributable to Weibo in the fourth quarter was USD 106.6 million, representing a net margin of 23% compared to 16% last year, primarily due to the above-mentioned impact from income tax. Net income for full year 2024 was USD 478.6 million, representing a net margin of 27% compared to 26% in 2023. Turning to our balance sheet and cash flow items as of December 31, 2024. Weibo's cash, cash equivalents, and short-term investments totaled USD 2.35 billion. In the fourth quarter, cash provided by operating activities was USD 244 million. Capital expenditures totaled USD 17.7 million and depreciation and amortization expenses amounted to USD 14.4 million on a full year basis. Cash provided by operating activities was USD 639.9 million compared to USD 672.8 million in 2023. Capital expenditures totaled USD 51.5 million and amortization expenses amounted to 58.1 million. In light of Weibo's robust balance sheet and healthy cash flow position, we are pleased to announce that our Board of Directors has adopted an annual cash dividend policy. Under this policy, the Board has approved an annual cash dividend of USD 0.82 per ordinary share for ADI for the fiscal year 2022. The total dividend payout will be approximately USD 200 million with payment expected to be made in May 2025. Over the past 2 years, we have successfully distributed 2 rounds of bank or cash dividends, each totaling approximately USD 200 million. Looking ahead, our top priority is to seize the transformative AI opportunities while maintaining robust financial health. Our efficient capital allocation supports our strategic priorities and ensure long-term financial stability, enable us to deliver sustainable, predictable dividends to our shareholders. With that, let me now turn the call over to the operator for the Q&A session.
Operator: [Operator Instructions] And the first question comes from the line of Xueqing Zhang from CICC.
Xueqing Zhang : My question is about AI. As your prepared remarks mentioned, you have a lot of progress on AI and Weibo has also integrated DeepSeek and the usage experience is quite good. So can management elaborate a little more on your future strategy of AI applications in the future?
Gaofei Wang: Okay. Thanks for the question. So first of all, in the past 2 years, we've been doing some of the things to further consolidate our efforts in terms of AI. First of all, we have been doing the integration of multiple AI large models. For instance, we have been using the capability of API and also the others to emphasize the production, especially the basic products of ourselves so that we are able to have a very good switch in between different models for the different needs to test our businesses. And also second point is that during the past 2 years, we've been making some of the products based on the capability of large language models, for instance, the intelligent search, the social products and also the content as well as the commentating and also the commercial ads, for instance. We've been doing a lot around those areas. And also in 2025, we've been seeing a lot of progress that we made in terms of the development and also the research on basic models. For instance, in 2024, we've been having a lot of discussions on Weibo about AI related to technical issues. But now we've been seeing a lot of more publics are actually joining the discussion about AI. And also in terms of the DeepSeek, we've been seeing a total number of volume of discussion around 10 million and also the number of reading volumes exceeding 20 billion already. So this has really helped us to see a very good [ authorization ] of the topic of DeepSeek and also the other AI-related topics. Of course, this is pretty much challenging in terms of the management of content, but still this has quicken up the speed of the integration between product and AI capabilities. And also in 2025, we're going to be focusing further and continuously on the investment on AI-related technologies and also topics. So for instance, in terms of the full volume realization, we've been seeing that this quarter, we're going to realize the full volume of the search capability among all the businesses that are under testing. And also, second of all, I would like to say that while we are having a further integration of those new models and also the further driving down of the overall cost, this is going to enhance the speed and also accelerate the integration with more capabilities and also AI models. And also in terms of the intelligent search, we've been seeing that in the last year, especially in the middle of 2024, we've been having the large language models of the [indiscernible] based on the [Qianwen] model with a parameter of USD 72 billion. But in 2025, after the Chinese New Year, we've been switching to the DeepSeek large language models. And this has further enhanced the capabilities of this particular intelligent search, for instance, the product capability and also with more fine details and all kinds of different angles in answering those questions. So that you can see that in terms of the total number of MAUs using the intelligent search, this has been increasing by 40% and giving us a very good result. And you can see that among all the results that have been showing to the public, 25% of those results are based on these intelligent search results and integrating the capability with DeepSeek. And also with the further enhancement of the computational power, I believe that starting from this year, --this quarter, we're going to see the service open up to full users, not only those users on the testing scope. And also, this is definitely enhancing the efficiencies of all kinds by double digits. So also, you can see that it's more important for us to see that because of this capability of large language models that we're using now, because of it's a capability to summarize and also help to conclude all the contents that we have been creating and presenting on Weibo platform for the past decade. This is really enhancing the capability of search. So for instance, of course, there are still room for improvements and optimization in terms of the capability of intelligent search based on AI. Still we can see that those content and also opinions that we have generated on the platform of Weibo during the past more than 10 years, which has been presenting and also organizing our platforms, we can help to summarize and also conclude all these contents so that it is going to add up more values to those long-tail searches instead of just the searches based on hot trends and also the knowledge-based content. And also with further optimizations and also further integration of multiple and diverse models and emerging of new models, we are going to see better content creating and also better presenting of those content and also a summary of the past year's content, which is going to add a lot of more values to the users. And also lastly, I would like to say that apart from the capability of search, we have been also applying the AI capabilities on the other fronts, for instance, monetization, the interactions and also better recommendations of more content. So in terms of monetization, we've been seeing a little -- several percentage points of increase in 2024. And I think that this momentum is going to be continuing in 2025 and especially around the area of performance-based ads. Of course, that the total ad revenue of those performance-based ad is not that contributive to the overall ad revenue. So this is not impacting the overall ad revenue as a whole in 2025 and also in the future. But still, we are still actively thinking about the values that we could add to the brand-based ads, especially based on the better and more individualized materials and all the other fronts, which are still under testing. So we're going to see that how much value we can have for the brand-based ads. So overall speaking, in the conclusion that in the next several quarters with the further optimizations and also the applications, we hope that we are able to announce to the public and also investors more progress that we have been making in this front.
Operator: And the next question comes from the line of Felix Liu from UBS.
Felix Liu : Let me try to say it myself. Congratulations on the resilient bottom line despite the slight revenue decline in 2024. My question is on the 2025 outlook for advertisement. Considering the economic policy stimulus since September last year, how does management see the macro and consumption trend in 2025? What's management's expectation on your ad performance by industry vertical in 2025? And last but not least, what are your strategies to improve the competitiveness of your advertisement business in 2025?
Gaofei Wang: Thanks for this question. So after Q4, we've seen a lot of implementations of the policies by the national government and especially around the area of national subsidies, for instance. So this is impacting immediately on the verticals like automotive and handsets and also e-commerce. But still, for those other industries that are not enjoying this particular national subsidy policies, we're not seeing a very good progress made. So in terms of the national subsidy policy, this has been impacting immediately positively on the 3C products and e-commerce industries. So we've been seeing a very good growth of the ad revenue from these areas in Q4. However, in the other areas that are not enjoying this kind of policy, for instance, the beauty and personal care products and luxuries and also the other discretionary industries, we've been seeing a lot of pressures and also stress of growth. So of course, that in the near future, still we have to remain precautious on these areas, especially without those favorable national policies, especially around the budget allocated by the customers in 2025. And also, second of all, from the other verticals, for instance, in e-commerce, especially among those top platforms like Alibaba and JD.com, definitely speaking, there could be a very affirmative and also confirmative growth in this year, in 2025. And in the other 2 verticals, handsets and also automotives, we've been seeing a very good integration into the content ecosystem of Weibo. And of course, it's very highly competitive for the automotive industry. And also still, we're going to see a lot of subsidies implemented by the OEMs. Still this is going to be very much a beneficial industry. And of course, because of the capability of differentiated competitive strength of Weibo and also very good anti-stress capability of Weibo as a platform, we're going to see a very good growth in this area. And of course, that we've been seeing a trend of decrease for the ICE vehicle, but still this is going to be offset by the growth of the new energy vehicle sector. And also, just now, we've been sharing some of the colors on our investments on the AI capabilities for the performance-based ads, and this has been seen -- this has been giving us very good results by improving the eCPM and also the other parameters. So we've been seeing a very good growth of the other customers, for instance, that are focusing on the app downloading, for instance. So this was good. And in 2025, the only industry, I believe, that is not certain -- that is uncertain, for instance, is the gaming industry. So you know that since 2023, every year, at the end of each year, we're going to see a very good publishing and also announcements of new large games every 1 or 2 quarters, but this trend has stopped in 2024. And throughout the whole year of 2024, we did not see a lot of announcements and also launch of the large mobile games and big mobile games. Although we've been seeing some of the announcements and launches of the medium-scale games, but still there are lack of big blockbuster games launched throughout the whole year of 2024. So commenting on the pipelines of our customers. In 2025, we are not that optimistic in seeing a lot of large and blockbuster games launched throughout the year. So the gaming industry is the most uncertain industry in this front in 2025. And also in 2025, throughout the whole year, we have to be really precautious on this front. And of course, that because different industries, as I have already stated, had all kinds of different performance and also different level of the pressure or optimistic growth. So what we have to do is that, in 2025, we have to pay close attention to the implementation of the government policies throughout the first half of 2025 and further to see that whether that is going to be further impacting the macro economy and also the overall consumption of China. Of course, that was ideal in the area of demand side. So we have to be really doing something to actively change our supply strategy, supply side strategies, and also the overall strategy of our company. For instance, as I have already stated, we have emphasized more on the investments on AI capabilities and the integration of AI capabilities can further help us to improve the efficiency of monetization. And also we have to see the trend of our customers when they're launching new products and also emphasizing more budgets on the marketing when they're doing so, so that we are able to do more and better in the ad business and also further enhance the competitive edges of Weibo in this area. And also last but not least, I have to say that the strategies of our content operation is exactly the same as the strategies of the operation of our monetization. So as I have already stated, after COVID-19, what we have to do is that emphasize more on the traffic growth of the vertical-related traffics because you know that during the COVID period, most of our traffics are related to news. So that has taken a larger proportion of the overall traffic allocated there during COVID. So after the COVID, we have to eradicate the traffic and also emphasize on different strategies. So after COVID and as of now, we have been recovering to almost 50% of the original level before COVID in terms of the traffic of the other vertical-related contents, but still there are rooms for further improvements. So because of that, you can see that for those vertical-related content, in terms of the capabilities of monetization and also the capabilities of the user stickiness, it is way much better than the other traffics. For instance, the 90 billion traffic for Ne Zha 2 and 20 billion traffic for the DeepSeek related topics. These topics have better capabilities of monetization. So while we are grasping these opportunities, this is going to help us to further consolidate our strength and also setup a better foundation for the capabilities of monetization in the future. This is what we have to do in 2025 in specific.
Operator: And the next question comes from the line of Daisy Chen from Haitong International.
Daisy Chen : Weibo has announced USD 200 million dividend. It's very delightful that the company still maintained the same size and frequency even under such difficult environment for the online ad business last year. We really respect that. Can management share more color on shareholder return policy such as the future plan and the method? Maybe do you want to [indiscernible]?
Fei Cao: Thank you, Daisy. This is Fei. I will take your question. Weibo is focused on a balanced capital allocation strategy that supports long-term growth while delivering value to our shareholders. As we mentioned, over the past 3 years, our non-GAAP operating margin has remained stable and our operating cash flow reached around USD 600 million, giving us the flexibility to invest in AI, in product innovation, and shareholder returns. So we pay dividend, as you mentioned. And our capital allocation follows some key principles and mainly 2 key principles. First, driving business growth and staying competitive. AI is playing an increasingly important role in enhancing our product experience. As Gaofei mentioned in his remarks, in Weibo search, and we are actively expanding its application in social and ad products. We remain committed to investing in AI while maintaining a disciplined financial approach to ensure our long-term stability and the profit margin that remains competitive within the industry. And second, enhancing shareholder returns. As you have seen from our announcement, our Board approved annual dividend policy, providing more predictable returns based on our financial performance and capital needs. And this reflects our commitment to delivering sustainable shareholder value while maintaining the flexibility to invest in the long-term growth opportunity, and we are open to other measures such as buyback. So going forward, we will continue to refine our capital allocation strategy, leverage AI to strengthen our product capabilities, and create long-term value for our shareholders. I hope this answers your question.
Operator: Thank you. We will now conclude the Q&A session, and I would like to hand back to Sandra Zhang for any closing remarks.
Sandra Zhang: Thank you, operator, and thank you all for joining our conference call today. This wraps up our call. We'll see you next time.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.